Jonathan Mendelsohn : Good morning, everyone, and thanks for joining us today for 888's 2023 Interim Results Presentation. I'm Jon Mendelsohn, and alongside me are Yariv Dafna, the Group Chief Financial Officer; and Vaughan Lewis, the Chief Strategy Officer. So this morning, on Slide 2, you can see the agenda for today's presentation. I'll be providing an overview of key developments during the first half before handing over to Yariv and Vaughan to take you through our financial and strategic progress in more detail. We will then provide the opportunity to take your questions.  Slide 4 reaffirms our key priorities as a Board against which we have made good progress in all key areas in the four months since our full year results and Q1 update. Firstly, I was delighted to announce the appointment of Per Widerstrom as Chief Executive Officer a few weeks ago. The Board ran a very thorough search process, and we had a wide range of very strong candidates given the quality of the business and our assets. Per was a clear standout candidate for the board. He is an inspiring and proven leader with extensive industry experience, including in public companies.  Per also has a very strong track record of executing value creation plans in omnichannel global betting and gaming businesses. In addition to this strong track record and experience, his high energy approach to building a strong and progressive work culture means we are even more excited about the future. And I look forward to him starting in 2 months, at which point I will revert to the role of Nonexecutive Chair. In the meantime, I have been and will continue to be spending a lot of time with him in preparation to hand over. And this is reinforcing my conviction that he will be a great success in this critical role as we build the business for the future.  We are also well advanced in our process to recruit a Chief Financial Officer, and Per will be involved in the selection process, but we hope to announce an appointment soon. I'd like to thank again Yariv Dafna for extending his stay with us during this crucial phase for the business as we deliver accelerated synergies and execute our plan to unlock the future potential of the business. Across the business, we have established a strong operating model and excellent teams to drive us forward. We continue to reinforce and strengthen our teams with excellent external hires and internal promotions, including recently expanding the role of Phil Walker to Chief Commercial Officer, looking at driving growth across the whole business. And also Harinder Gill has taken on an expanded role across risk and operations, looking at how we can drive the most benefits from our operations and compliance teams and ensuring everything we do for customers is joined up and the best it can be.  Our second priority is ESG and sustainability. Our ambition is to be one of the most trusted operators in the industry, and we continue to make progress in strengthening our governance and compliance, and ensuring that we are building a sustainable business for the long term. You will see in the statement that we have agreed a settlement with the Gibraltar regulator in relation to the failings that we identified in our Middle East business in January of this year. Having identified these failings ourselves, we took swift and comprehensive action to rectify these and notify the regulator. Since then, we have worked closely with the regulator to ensure full compliance going forward, and the Gibraltar regulator has been complimentary about the proactive swift and robust remedial actions we have taken and our new governance structure to identify and prevent any failings is working well.  As a Board, we remain resolutely focused on sustainability and compliance, which is fundamental to the business we are building. The actions that we have taken to enhance our compliance framework have had and continue to have an impact on our revenues, but we are confident that these are the right actions for the business to create long-term value. All of these actions are changing the shape of the business and leading to a much higher quality and much more sustainable platform for future growth. In Q2, 95% of our group revenues came from customers in locally regulated or taxed countries. The Board's third priority is execution, which I will address in more detail on the following slides.  On Slide 5, we have shown how we are executing the strategic plan that we outlined at our Capital Markets Day last November. You can see on the chart that 888 is a business that was historically relatively subscale and overweight in its offshore market mix. Through a significant acceleration in growth, partly helped by the COVID lockdowns, we embarked on an ambitious M&A plan to transform our scale. When we spoke to you last November, we reiterated the compelling strategic rationale for the William Hill deal, but talked about how external factors have moved against us, including interest rates and the U.K. regulatory environment.  This meant our position was one of a newly compliant business with a lower-than-average profitability and high leverage. But we had a clear plan to address this. And despite further additional challenges this year with our dot-com operations, we have taken decisive actions to execute on that plan and set the best platform for future growth and value creation. While this is a complex global business with multiple technology, regulatory and competitive dynamics, at its heart, there are three key drivers: revenue, marketing and our operating expenses. Starting with revenue.  We have been taking quite radical actions to change the mix of our revenue to provide a higher quality, more profitable and more sustainable revenue mix that provides us with a strong platform for growth. As outlined in our full year results in April, we expect revenues to be lower this year. This reflects the combination of our actions in reducing our exposure to higher risk offshore markets, implementing progressive safer gambling restrictions and removing revenue generated from unprofitable or low-return marketing spend. These actions are both planned and necessary and our progress in their implementation gives us confidence about our midterm growth plans and value creation potential. Secondly, marketing spend.  As two separate businesses, William Hill and 888 had different marketing plans and strategies. In markets like the U.K., with the strength of the combined business and with two leading brands, we have changed the marketing strategy to focus on driving sustainable profitable returns as a portfolio of brands across the market. Now Vaughan will run through this in more detail later, but I'm delighted to say this is already delivering really strong results. And while our U.K. online revenues are lower, our marketing efficiency has improved dramatically, and our active customers and profits are higher.  This reflects our overall plan to create a customer-focused organization with high growth potential. We've seen the foundations of this take shape in the first half with higher customer volumes, lower average spending levels, lower marketing ratio and higher profits. This is our platform for the future for sustainable value creation.  And thirdly, operating costs. Our principle here is to achieve the scale benefits in our combined business by removing duplication and delivering best-in-class and scalable shared functions to support our global ambitions.  We've made good progress with our technology plans, and we look to migrate certain markets onto the 888 platform where there is a clear and immediate customer benefit in doing so. Markets where the technology integration is more complex, we are setting ourselves up to ensure we have the best platform for the future that can deliver ongoing product improvements now as well as being future-proof. Our actions on technology and operations have already generated significant synergies. And our focus now is on driving efficiency and setting ourselves up to invest in delivering the best customer experience and ultimately drive growth.  Now turning to Slide 6 and to summarize our progress in H1. This is how we look to unlock the huge potential of this business. We have made tremendous progress with the integration, delivering £66 million of synergies in the first half of this year, and accelerating our plans such that we will have achieved our target run rate of £115 million within 2024, a year earlier than planned. We have delivered on our goal of improved profitability with adjusted EBITDA up 9% and margin improving by around 2.6 percentage points. Yariv will cover the numbers more fully shortly. But it's also important to note our guidance for full year '23 remains unchanged, both on revenue and adjusted EBITDA.  On leverage, in just six months, we already reduced this by 0.5x. The speed of deleveraging in the first half was partly helped by some favorable foreign exchange movements reducing our net debt. But we remain committed to bringing the leverage down continually and effectively through to our 2025 target of less than 3.5x. Overall, I'm delighted to say that during an extremely busy period, we have continued to focus on our priorities and are making excellent progress with our plans.  And with that, I'm going to hand over to Yariv to walk us through the financial results in more detail. 
Yariv Dafna : Thanks, Jon. Good morning, everyone, and thank you for joining us today. Starting with Slide 8 with some brief financial highlights. On a reported basis, we saw significant growth in revenue and EBITDA, driven by the acquisition of William Hill last year. EPS is affected by the increased interest cost but we see significant scope for improvement here as we deliver on our plan to expand profitability and deleverage in the coming years.  In the appendix to this presentation, there are some more slides on the reported results, including details on the exceptional item and adjustment being mainly the purchase price allocation amortization and transaction and integration costs. On a pro forma basis, we are doing exactly what we said we would, both in terms of delivering accelerated synergies and refining our operating model to set a strong platform for future growth. While this has had a short-term impact on revenue as expected, with revenue down 7% to £882 million, we can already see improving profitability even despite the impact of the Middle East suspension. Adjusted EBITDA was £156 million, up 9% year-on-year and representing an adjusted EBITDA margin of just under 18%. This is below our guidance of 20% for the full year, but synergy benefit and marketing phasing were always weighted towards H2, and we are on track to meet market expectations for adjusted EBITDA of around £350 million.  On Slide 9, we show the main item in the bridge between 2022 actual to pro forma results and then to our 2023 actual results. On the left, you can see the revenue bridge starting from reported revenue in H1 '22 of £332 million. Including William Hill result and excluding the Bingo business, the pro forma revenues would have been £943 million. Retail revenue are £16 million higher, reflecting the positive trend across the high street and the benefit of the CapEx spend in the last two years. U.K. online revenue are £35 million lower, reflecting both the impact of player mix shift toward lower spending customer and the short-term top line hit from the removal of unprofitable marketing spend. International revenue are £43 million lower, reflecting mainly the impact of regulatory and compliance changes, including the suspension of VIPs in the Middle East but also the refined focus on our core and growth markets. In the core markets, Italy and Spain, we saw strong growth year-on-year. On the right-hand side, you can see the same bridge for adjusted EBITDA. The important point to make here is that while you see the revenue decline, EBITDA is up mainly in the U.K. online where margins are significantly higher, leading to £11 million increase in EBITDA.  On Slide 10, we present the revenue and adjusted EBITDA by segment on a pro forma basis. We operate the business in two main segments: the U.K., which include our U.K. and Ireland online businesses and our retail business, and the international, which include all our businesses outside the U.K., including the U.S. For the U.K., pro forma revenue were down 3% in H1 '23, reflecting strong trend in retail, more than offset by the structural changes we have been making to our online business.  For our international business, revenue were down 14%. As already mentioned, the main driver of this was the closure of our Middle East VIP in January, which explain a little over half of the drop and further changes to our dot-com compliance framework, which negatively impact our revenue. Excluding these regulatory and compliance changes, our international revenue were broadly stable. We have effectively rightsized the international business and improved sustainability significantly with only 5% now coming from non-locally regulated or tax markets. This new position sets a really strong base for future growth with an increased focus on our core and growth markets.  Moving to Slide 11. We have made good progress on our 3 core financial priorities that we laid out at our Investor Day. Our first focus is execution of synergies. We delivered additional £66 million of cash synergies in H1 '23, mainly across operation and marketing. And as Jon mentioned, we now expect to reach the £150 million target by 2024.  We continue to optimize the business and seek out efficiency that can benefit the customer experience and plan to reinvest any additional saving opportunity in accelerating growth. Our second priority is improving our adjusted EBITDA margin. As we have been executing on our integration plan and delivering improved ROI on our marketing spend, we have confidence in our plan to deliver an adjusted EBITDA margin of 20% in the full year 2023. And our third priority is deleveraging. We ended the year with net debt of £1.73 billion and trading leverage of 5.6x.  We're already making good progress with this leverage reducing to 5.1x at the end of June. Looking forward, I expect further progress to end the year at slightly below 5x. As we outlined in the full year result, deleveraging 2023 comes through EBITDA growth with the net debt expected to be broadly neutral for the year. 2024 and on is when we get the benefit of both EBITDA expansion and cash flow to enable debt reduction. We continue to target below 3.5x in 2025, and we will continue to be disciplined with capital allocation to prioritize debt reduction in the next couple of years.  Turning to Slide 12, an overview of our cash flow for H1, where we saw net cash excluding customer balances increased by £11 million to £188 million. Our adjusted EBITDA of £156 million turned into £76 million of underlying free cash flow after reflecting tax of £12 million, net working capital of £15 million, CapEx of £33 million and lease liability of £19 million. CapEx is already benefiting from early synergies and the lease costs have increased slightly due to the sell and leaseback. We then have £23 million of exceptional costs related to the cost to achieve synergies and £2 million of debt amortization. Net interest of £73 million reflects some timing benefit with our expectation for the full year of £165 million to £170 million unchanged.  Our disciplined approach to capital allocation includes reviewing the opportunity to generate cash from lower return or noncore assets, and during the period, we realized approximately £41 million from noncore asset sales, including the seller and leaseback of some freehold properties. The net effect of all of this is cash increasing by a little over £11 million, while the other £56 million reflects the change in lease liability and gross debt. Lease are up slightly with the sale and leaseback, but the main movement is gross debt, where FX rates moved favorably versus December.  Turning to Slide 13, I would like to provide an update on our outlook for 2023. We see no change to our expectation to low to mid-single-digit revenue decline for the full year. Following the 7% drop in H1 2023, the decline likely to be at the mid-single-digit end of the range, reflecting the slower-than-expected pace of recovery in the Middle East. We also remain on track to deliver an adjusted EBITDA margin of 20% this year. We delivered a margin of a little under 18% in the first half, and with the phasing of marketing investment and synergies, we have good visibility on this, reaching 20% for the full year. Furthermore, the other element of our technical guidance remain the same or improved from our guidance in April, and we continue to focus on strong cash management to make progress with our deleverage targets. Overall, this has been a good first half, reflecting our strong financial discipline and delivering on our target to increase profitability and drive cash generation.  I'm pleased with the progress we have made, particularly with reducing the leverage and with good visibility of slightly less than 5x at the end of this year as we continue to progress toward our target of 3.5x or below in 2025. I would like to mention again that additional financial information can be found in the appendix.  I will now hand over to Vaughan to run through the strategic highlights. 
Vaughan Lewis : Thanks, Yariv, and good morning, everyone. Turning to Slide 15, this is a reminder of our strategic pyramid. This sets the guardrails for how we manage the business, prioritize our actions and allocate our investments. Jon and Yariv have both outlined the strong progress we are making against these priorities. We're building a really focused, streamlined and more profitable business that is built to deliver future growth and value creation.  2023 is a key year in our position, plan, potential road map as we take rapid and assertive actions to change the mix of the business to drive sustainable value creation. This will allow us to evolve from a focus on integration to a clear focus on driving growth as we maximize the potential of the platform we are creating. Turning to Slide 16, and a few examples of this in practice in our biggest market, the U.K. The summary of the first half for the online business in the U.K. is higher player volumes and higher market share of players, lower ARPU as the business is remixed towards the most sustainable, lower spending player groups, and higher profitability as we focus our marketing investment on building sustainable returns.  On the left-hand side, you can see continued growth in our active player base. This growth is coming from lower spending recreational cohorts. We're also seeing increased brand penetration here with 15% of all active gamblers now using the William Hill brand, up 400 basis points compared to 2 years ago. And this provides us with a really strong platform for future revenue market share gains. So while the chart show active players and our market share of players is up, we know our revenue market share is lower.  This reflects a significant and ongoing reduction in our exposure to higher spending cohorts. In the middle chart, you can see that the mix of revenue from higher spending cohorts has dropped from nearly 50% of our U.K. revenue to around 20% today. What's also pleasing is that the absolute revenue from recreational customers continues to grow, with recreational revenue 7% higher in the first half. We see this as a really positive shift in terms of future mix and has positioned us well for the full implementation of the White Paper outcomes, which are now being consulted on further and will be implemented over the coming years.  We already have stringent affordability measures in place and low slots limits of between £5 and £10. These limitations and interventions do create friction with our customers. We agree with the aims of the White Paper in reducing this friction, improving the customer experience and creating a level playing field for all operators and look forward to working with the industry on responding to the live consultations to produce an evidence-based outcome that is good for customers. On the right-hand side, you can see the progress we have made to make our marketing more efficient. We have seen a significant reduction in CPA and an improvement in the marketing ratio.  At the start of this year, we brought together all of our brands in the U.K., and we have changed our marketing mix to deliver sustainable, profitable returns for both sports and gaming investments. This is most evident in the 888 brand as we altered the strategy and stopped investing heavily in building brand penetration in sports as well as adapted to the casino strategy to focus on building more sustainable revenue. As we look forward, we're even more optimistic about a return to revenue growth in the U.K. in 2024 with the reshaping and improved mix of the business, leaving us really confident about our plans to grow market share over time in the U.K. Turning to Slide 17, and our market focus.  We've covered U.K. retail and U.K. online already, and I'm pleased to say that it has been another strong period in both of our other core markets, Italy and Spain, with both growing revenue and contribution by double digits. Within our growth markets, these were up 11%, excluding Germany, which is continuing to act as a drag-on growth while the impact of regulatory change there washes through. The main change in revenue relative to last year is the result of a significant decline in our offshore dot-com revenues, which Yariv has already discussed.  While this means overall revenues are lower in this period, it is significantly improving both the quality and the sustainability of our business and improving our future growth profile as our business mix shifts towards our core and growth markets where we are building market-leading positions. We've been delighted with the progress in our pipeline markets, with our Africa joint venture going from strength to strength. We launched in September, and at the end of the tenth full month, we have already passed 1 million customers and are seeing continued strong revenue growth here with a 25% month-to-month CAGR so far this year. The success here gives us real confidence about the value creation. We recently completed the acquisition of BetLion, and this further supports our expansion in Africa with some excellent front-end technology and adding further license jurisdictions.  We're looking forward to seeing accelerating growth here with future market launches over the rest of this year and into 2024. Turning to Slide 18 to outline our continued progress with our 3 key enablers: products and content leadership, world-class brands and customer excellence. It was a busy period for product launches with the SI Casino launching in Michigan in February and quickly ramping up to 1% market share here. In the first quarter, we also received our German gaming license and went live with Mr Green over the fully licensed 888 platform. Within the retail business, we upgraded and expanded our market-leading SSBT estate and are rolling out best-in-class new gaming cabinets across the estate which also benefit from unique games and provide the best experience on the high street for gaming.  On the brand side, we launched some really innovative William Hill Vegas out-of-home advertising with an augmented reality slot machine appearing when you scan a QR code on a billboard. For the start of the new football season, we launched a huge new campaign fronted by Eric Cantona, building out William Hill as the voice of authority in football, which hopefully some of you have seen already. I'm also sure many of you have heard the outstanding Upfront with Simon Jordan Podcast series, which has consistently been ranked amongst the top sports podcasts and has already amassed over 15 million views across our social media channels. On the customer side, we continue to implement significant improvements for our customers as we get the benefits of our combined operations, delivering both cost synergies and an improved experience for our customers. Our customer satisfaction scores have been consistently rising as a result as we continue to get better at understanding their pain points, and we are getting better at addressing issues even before they arise.  Overall, this has been a period of strong strategic progress with our products, brands and customer focus building a strong platform for future growth. I'd now like to hand back to Jon to conclude. 
Jonathan Mendelsohn : Turning to Slide 20, to conclude with our continued progress against our position, plan, potential road map. During the first half, we have made huge progress against the plans that we laid out at the end of last year, accelerating the delivery of synergies and largely completing the operational integration of the business. We have implemented a more efficient and more effective marketing plan, which better uses our world-class brands to deliver stronger and more sustainable returns on our marketing, delivering a better customer experience and improving profitability. And we have positively changed the mix of our business, reducing risks and providing a higher quality, more sustainable platform for future growth. With the appointment of Per, I will be handing over to a world-class CEO and look forward to updating you soon with a CFO appointment as we continue to strengthen our team and execute our plan to deliver enhanced shareholder value.  And with that, I would like to hand over to the moderator for your questions. 
Operator: Thank you. Our first question comes from Roberta Ciaccia from Investec. Could you give us some granularity on the amount of synergies allocated to your U.K. and Ireland digital EBITDA in H1? Could you also comment on the evolution of the U.S. business? [Operator Instructions] 
Jonathan Mendelsohn : Thank you. Yes. Look, we don't report breaking out the synergies in that sort of detail. But what would be very helpful, I think, is if Yariv will be able to outline the progress on the synergies, and then I will ask Vaughan to update on the U.S. market. 
Yariv Dafna : Okay. So as Jon mentioned, we don't really break down the synergies per market. But if you look at the information that we provided in the presentation, in the appendix, you can see that the OpEx is going down across the board in the U.K., in international and in the corporate level. And considering that we are integrating the business to be one unit, so we don't have the exact allocation, however, all the business is enjoying from the synergies. 
Vaughan Lewis : And on U.S., yes. So we outlined our betting 2.0 plan at the Investor Day last year, which is really pivoting the focus to a specific demographic of SI fans and focusing on gaming. In February this year, we launched SI Casino in Michigan, and we've been really pleased with the performance there. So we very quickly got to 1% share. We've got good customer data there.  We're seeing good retention, good player values and very attractive CPAs. So that's given us the kind of data, the knowledge, the experience to really push on with that betting 2.0 plan. I'm sure you all know that the iGaming market is huge in the U.S., about USD 6 billion across the 3 main states and growing at 20% or so a year. Our plan is focused on getting low single-digit market share of that iGaming market with sports across a wider range of states but as a complementary product with most of the focus on growth and investment on casino. And we can get to nice levels of profitability with that low single-digit share across those gaming markets.  So that's the plan. It started well. It's still quite early days with the casino in Michigan, but we've been really pleased with that, and that's really reinforced our confidence in our U.S. plan. 
Operator: We now have a few questions from Ivor Jones from Peel Hunt. If additional synergies are going to be reinvested in growth, does that mean that business will be managed to hit £351 million EBITDA? There is no profit upside for this year? Is the 5% of revenue that is not taxed or regulated sustainable? And what is the second half cash exceptionals number? 
Jonathan Mendelsohn : Thank you. Look, I think it's important to note that we are -- we've given a very firm continued view on saying that we are meeting the guidance as expected. And we're not looking to change that. Where we are looking within the context of the synergies and other things that we could do and our attempts to look at what else we can do to invest in our growth. That's very much on our pathway to our 2025 target.  So I think it needs to be seen in that context rather than something which is particularly short term. Just in relation to the performance of our optimized markets, I'll ask Vaughan to comment on that, and then Yariv will take you through the second half cash exceptionals. 
Vaughan Lewis : Yes. So on those dot-com markets or the offshore markets, we have seen a big change in there, as you can see, and that reflects much more robust policies and processes and lower levels at which we intervene. So similar dynamics that we're seeing in the U.K. And just like in the U.K., when you ask customers for relatively intrusive levels of information and documentation, some of them decide to stop playing or go and pay with someone else who doesn't ask for that same level of documentation. So we have seen a big kind of mix shift there.  In terms of looking forward, this is a really good part of the business for us. We have a global, scalable tech stack and operations. We have really robust policies and processes for regulation and compliance. And that enables us to service customers from a really wide range of countries on a very low-risk basis. So we'd expect that to continue.  We wouldn't expect that 5% to change much looking forward. We're certainly not looking to exit more markets. And we do see these as attractive long-tail market spreads across multiple -- many, many markets in there, and nice kind of incremental cash flow to generate incremental returns from our asset base. 
Yariv Dafna : Yes. Regarding the H2 cash exceptional, so these are mainly the cost to achieve synergies. The number remain unchanged, £60 million for the full year, so considering that we did about £24 million in the first half, so that's about £36 million in the second half. More maybe a broader comment on the CTA, despite the acceleration of the synergies, the CTA remain unchanged in terms of our expectation, the £100 million over 3 years and also the phasing is -- we consider the phasing to remain unchanged. 
Operator: The next question comes from David Brohan at Goodbody. Is there any change to FY '23 synergy delivery guidance in light of the acceleration from FY '25 to FY '24? 
Yariv Dafna : So this is -- again, so the synergies and the plan to achieve synergies will continue into '25. Now what we are confirming, that the £150 million that we set as a target will be achieved already in 2024 instead of '25. Obviously, there will be more opportunity to drive more synergies, but we will be looking to take additional synergies and invest in the business and in growth rather than realizing these synergies to additional profit. In terms of the 2023, so we don't see any point now to go into the exact number of 2023 because we are providing a clear guidance about this year, so both in terms of what will be the revenue and what will be the EBITDA. So everything is in the number that we are providing. 
Operator: And a follow-up from David. Are there any other noncore assets that you could potentially sell to reduce leverage further? 
Yariv Dafna : There is nothing material right now that we can discuss at this point. 
Operator: The next question comes from Richard Stuber at Numis. We would welcome any more color on current trading in the last 6 weeks. Could you give U.S. market share in the states you are in? What are your U.S. losses? And when do you expect to be breakeven? When do you expect the ongoing license review by the Gambling Commission to complete? 
Jonathan Mendelsohn : In relation to the final part of that about the review, we would hope that it would end at some point during the course of this year in either to the tail end of this quarter or the beginning of next quarter. But it really does depend on the Gambling Commission's view of the external issues that we are being judged on and what our approaches to them. So I think the timing is very much in their hands. But we're hoping that this will be resolved in a reasonable time scale. As we've said, it's not a matter that's looking at any of our particular operations.  It's really about the responsibility of the Board to ensure that the core licensing objectives which the Gambling Commission is charged to ensure are dealt with adequately, and our performance in relation to those. So as a fairly unique situation, it's hard to give a specific time scale. But I think it's, as I said, very much in their hands. But we will hopefully see this finished during the course of this calendar year. In relation to the second issue, just to give a bit more further color, I'll ask Vaughan. 
Vaughan Lewis : Sure. So current trading, I mean, we haven't said much, but we've given very clear guidance for the full year. So I think you can expect and understand that the current trading remains in line with prior trends, and we're on that trajectory to that full year guidance. Just to add a sort of a couple of snippets on that, I suppose, hopefully, you've seen the Eric Cantona efforts and the big Epic Odds offers for William Hill in the U.K. for the start of the new football season.  As we've been seeing all year, really, those Epic Odds have really been landing well and resonating well with customers. And we do continue to see really strong growth in active customers, both online and in-store actually. So those offers have also been available in retail, and customers love those and have been snapping those up. So everything we talked about in the presentation and in terms of the guidance, that's kind of where we're looking at in terms of current trading. In terms of U.S., I expanded on that for Roberta's question.  We've been pleased with the early data from Michigan and casino. And that's really where the focus is with a casino-led strategy with Sportsbook as a complementary and as a cross-sell. Like I said, we don't need to get huge to get to breakeven and get to profitability. Low single-digit market share gets us into that kind of ballpark. So that's what we're focused on.  And we've been pleased with the early performance in Michigan, and that reinforces our confidence in the plan over the next few years. 
Operator: The next question comes from Karan at JPMorgan. Blended H1 online margin implies H2 online margin being higher by approximately high single-digit percentage. Is this improvement primarily driven by lower marketing and higher synergies in the second half? It seems like a big sequential improvement. Any color on that will be helpful. 
Yariv Dafna : Yes. So the way to look on our guidance for the full year, that revenue will be similar between H1 and H2, and the highest profitability will come from extra synergies to be realized and achieved in the second half of the year, but also lower marketing. Marketing tend to be more weighted toward the first half of the year. And we continue also to optimize our marketing. So with less marketing and less OpEx, we will be able to deliver the higher EBITDA that will take us to the 20% EBITDA margin for the full year. 
Operator: Our next set of questions comes from Michelle Yongsu. Can you provide a breakdown on 2023, U.K. and Ireland retail revenue slowed down to 4% year-on-year from 8% year-on-year in Q1 '23? How much of it came from closed shops and how much was same-store changes? And secondly, what's the intention of FS Gaming regarding their shareholding? 
Yariv Dafna : So I will address the retail and let Jon later on answer about FS Gaming. But on the retail, so that's correct that our first quarter was 8%, and then the second was 4%. Normally, the second quarter is a bit weaker than the first quarter. I wouldn't draw a lot of conclusion from this change. The trend in the retail are quite good.  We see increase in the activity. We did close shop during the first half of the year, which have a certain impact on the business. But actually, what we see is a very normalized trading of Q1 versus Q2. 
Jonathan Mendelsohn : Thank you. Unsurprisingly, you'll know that I won't be speaking on behalf of other people. So it's not really possible for me to speak about the intentions of FS Gaming regarding their shareholding. All I can say is that the rationale of when they acquired their shares, of how they felt there was the large opportunity for massive growth for us and for the development of the share price and value of the business still holds. We welcome the investors who saw that and see that opportunity, and we'll continue to do so. 
Operator: The next set of questions comes from Simon Davies at Deutsche Bank. There was a significant reduction in marketing margin given increased optimization. Where do you think online marketing spend can get to as a percentage of revenues? Secondly, what is average lease linked in retail? And do you think you have sufficiently rationalized retail estate? Or do you expect further reductions in store numbers? And thirdly, what is current balance of recreational customers? Does the shift to recreational have much further to go? 
Jonathan Mendelsohn : So if I could just give a sense about the nature of the retail estate, is that we still are very committed to the retail estate, and we're very committed to our footprint and making sure that whatever stores that we have are already going to provide value for the business. There are complexities about location, about costs and other sorts of things. But the footprint we have today will be different to what we have tomorrow. But we are -- it would be wrong to assume that it will only go in one direction. We're very committed to our retail estate, and we've seen some great developments.  We've got a great team, and we've had some very good investments that we've made and product changes. So I would just put it in those terms. But in terms of the leasing costs and also the marketing margin, I'll ask Yariv to refer to those. 
Yariv Dafna : Yes. So in terms of the retail numbers, so we don't expect this year to have more reduction in the number of stores, again, not a material change. We might have here and there some closure or some opening. So it's fair to assume that this is the number that will go with us until the year-end. In terms of the marketing ratio, so the marketing ratio in the first half was 22.4%.  We are expecting, as we provided in the guidance to be at 20%, 21% on the full year basis. And this level looks to us as more optimized and, I would say, low 20% rather than the high 20% or above that. On the recreational level, I think that -- it's very difficult to go into an exact definition of what it means, recreational level. But it definitely means that we are less depends on high-value customer. And this is -- again, we don't want to go into a definition of what does it mean by number. 
Operator: We now have some questions from Adam Besson. Congratulations on the results this morning. Great to see things moving in the right direction. However, there wasn't any explicit mention of the 2025 targets today. Are those targets still achievable?  And also, in the results, you mentioned that £54 million synergies were delivered in H1. To clarify, does that mean that the 6-month effect of those £54 million savings were fully realized and the cost base presented over the £54 million only achieved by 30 June, such that there is more impact to come from those savings in H2? 
Jonathan Mendelsohn : Thank you. Well, I do hope that I sort of did try and mention the 2025 targets and say that still remains. The architecture that we have and the plans and the goals that we are aiming towards. And we still are reporting confidence that we can meet every part of that journey, what we can do this year and what we've done this year and what has been a huge transitionary year. But yes, we are very firmly tied to being able to deliver on those and do all the changes and all the work that's necessary to do that to make the right sort of -- create the right sort of efficiencies, to optimize marketing, to look at all the markets, to create the right efficiencies, to have done the full integration.  All of that is working towards being able to achieve the goals that we set for 2025. I'll ask Yariv just to again provide the details. 
Yariv Dafna : Yes, the synergies of £66 million in the first half, it's on run rate basis that we achieved already in the first half of the year. £12 million out of these are affecting CapEx and the remaining £54 million affecting our OpEx, yes. 
Operator: Thank you. That is all the questions from the webcast this morning. So I will hand back to you, Jon. 
Jonathan Mendelsohn : Thank you very much. We hugely appreciate all of you coming today to hear the progress that we've made. We are very committed to the path that we are on, to doing the work that is necessary. This will be one of the last times that I'm speaking to you in this role. And I wanted to firstly say that I'm sure that you will enjoy working with Per when he comes along and that he will be an excellent interlocutor for you and someone who will provide the right sort of confidence for you and for the wider markets in relation to what we're doing.  But I personally want to thank you all for the consideration you've given me whilst I've been doing this role and for all the very useful dialogue that we've had. So thank you very much, and we look forward to updating you in due course with our further progress.